Operator: Good morning ladies and gentlemen, welcome to the CIBC quarterly results conference call. Please be advised that this call is being recorded. I would now like to turn the meeting over to Mr. Geoff Weiss. Please go ahead.
Geoff Weiss : Good morning and thank you for joining us. This morning CIBC senior executives will review CIBC’s Q3 results that were released earlier this morning. The documents referenced on this call, including CIBC’s Q3 news release, investor presentation, and financial supplement, as well as CIBC’s Q3 reports to shareholders can all be found on our website at www.cibc.com. In addition, an archive of this audio webcast will be available on our website later today. This morning’s agenda will include opening remarks from Gerry McCaughey, CIBC’s President and Chief Executive Officer. Kevin Glass, our Chief Financial Officer, will follow with a financial review and Tom Woods, our Chief Risk Officer will close the formal remarks with a risk management update. After the presentations, there will be a question-and-answer period that will conclude by 9.30 AM. Also with us for the question-and-answer period are CIBC’s business leaders, Victor Dodig, Richard Nesbitt and David Williamson, as well as other senior officers. Before we begin let me remind you that any individual speaking on behalf of CIBC on today’s call, may make forward-looking statements that are subject to a variety of risks and uncertainties. These statements may include material factors or assumptions that could cause CIBC’s actual results in future periods to differ materially. For more information, please refer to the note about our forward-looking statements in today’s press release. With that, let me now turn the meeting over to Gerry.
Gerald McCaughey : Thank you, Geoff and good morning everyone. Before I begin, I will also remind you that my comments may contain forward-looking statements. CIBC produced strong results in Q3. We reported net income for the quarter of $841 million and earnings per share of $2. Return on equity for the quarter was 21.8%. Adjusting for items of note, earnings were $2.06. Our capital ratios are strong. We finished the quarter with the Basel III pro forma common equity ratio estimated at 8.9% and a Basel II tier one ratio of 14.1%. We continue to make progress on our strategy, which has three underlying elements. Our first principle is to be a lower risk bank. We remain focused on delivering consistent and sustainable earnings and we have a strategic plan to deliver managed growth for CIBC. This growth plan is grounded in four main work streams. First we will strengthen our core Canadian Retail and Business Banking franchise with a particular focus on deeper client relationships. Second, we will grow our Wealth Management platform in Canada and internationally, particularly in the United States. This involves limited M&A activity such as our investment in American Century last year and our recent acquisition of McLean Budden’s Canadian Private Wealth business. Third we will grow our client based Wholesale Banking business in targeted industries within our defined risk appetite. These will involve crossing borders in four key areas of expertise, oil and gas, mining, real estate finance and infrastructure. Today’s announcement regarding our acquisition of Griffis & Small, which I’ll touch on shortly is an example of supporting this strategy. And fourth, we will strengthen our offshore Caribbean Banking business. This plan balances our lower risk approach with sustainable strategic growth and does not include large and transformational acquisitions. This morning’s announced capital actions are consistent with our strategic plans. Today, we declared a $0.04 increase in our quarterly common dividend. This increase leaves us within our pay out range of 40 to 50%. We also announced our intention to commence a normal course issuer bid to repurchase up to 8.1 million common shares or approximately 2% of shares outstanding. And lastly, we announced our plans to redeem 300 million of Series 18 preferred shares at the end of Q4. I will now review the financial results and strategic developments for each of our business. Retail and Business Banking reported net income of 594 million for the third quarter of 2012, up 8% from Q3 of last year. Revenue for the quarter was 2.1 billion, up 2% from a year ago. Credit quality in our retail portfolios continues to be stable. Provisions for credit losses were relatively flat year over year. Operating leverage remained positive despite a planned increase in investment initiatives that support our client focus. Our strategy in Retail and Business Banking is focused on enhancing the client experience and accelerating profitable revenue growth. Supporting these objectives are three main priorities; building deeper relationships with our clients, enhancing our sales and service capabilities and acquiring and retaining clients consistent with our objectives. Deeper relationships are foundational to what we are trying to achieve. In April we launched the total banking rebate offer, which provides discounted fees for clients who hold four or more products with CIBC. The second priority in retail is to serve our clients better by improving our sales and service capabilities. To meet this objective, we continue to invest in technology to enhance client’s onboarding and sales as well as origination capabilities. This initiative is progressing well. Also during the quarter we announced that effective July 31, 2012 we will no longer be accepting mortgages through our broker mortgage brand First Line. Exiting this single product channel is consistent with our strategy focused on deeper client relationships, particularly through the branch channels. Consistent with that emphasis we continue to invest in our branch distribution network. This year we have added 16 new relocated or expanded branches and continue to provide our clients even greater access, like expanding business hours. In recognition of our customer focused strategy, we were recently named the best commercial bank in Canada by World Finance Magazine. David Williamson is here this morning, to answer questions about our progress and strategic direction in retail and Business Banking. Wealth management earnings for the quarter were 76 million, up 9% from the third quarter of last year. We continue to make progress in support of our strategic priority of building our wealth management platform. Subsequent to the quarter end, we announced the acquisition of the Canadian private client wealth business of MFS McLean Budden. With approximately 1.4 million in assets under management, this transaction will serve to build on our strategic priority of strengthening relationships with high net-worth clients. Victor Dodig is here this morning to answer questions about our progress and strategic direction in wealth management. Wholesale Banking reported net income of the 156 million in the third quarter. Excluding items of note, net income was 175 million up 14% from the previous quarter. Subsequent to the quarter end, we strengthened our Wholesale Bank with the acquisition of Griffis & Small. Griffis & Small is a Houston based oil and gas advisory firm, specializing in acquisitions and divestitures. This transaction supports CIBC’s strategy of targeted growth in businesses and geographies where it has strong existing client relationships and capabilities. It also creates opportunities to serve new and existing Wholesale Banking clients in the United States and compliments our energy focused teams in Calgary. In the Caribbean, while economic environment remains challenging, we are beginning to see signs of improving market conditions. As conditions continued to improve, we expect our Caribbean operations to return to historic levels of profitability. Richard Nesbitt is here this morning, to answer questions regarding our progress and strategic direction in Wholesale Banking as well as our Caribbean operations. In summary, we have delivered results this quarter that are on track with our strategy. Let me now turn the meeting over to Kevin Glass. Kevin?
Kevin Glass : Thanks Gerry. So I’m going to refer to the slides that are posted on our website starting with Slide five, which is a summary of results for the quarter. As Gerry said, our results for the third quarter of 2012 were strong. On a reported basis, net income after tax was 841 million and adjusted net income after tax was 866 million. This resulted in reporting earnings per share of $2 and adjusted earnings per share of $2.06. The details of our items of note are included in the appendix to this presentation. Our Retail and Business Banking franchise experienced strong revenue growth across most of its businesses. Wholesale Banking’s capital markets and corporate and investment banking businesses both performed well and our capital position is strong with a tier one capital ratio 14.1%. In addition, our Basel III common equity ratio is estimated to be 8.9%. Moving on to the details for each of our strategic business units, I'll start with a performance of Retail and Business Banking on slide six. Revenue in the quarter was 2.1 billion, up $50 million or 2% from the same quarter last year. Personal Banking revenue of 1.66 billion was up 23 million or 1% compared with the same quarter last year. Revenue was hurt by narrower spreads, but helped by strong volume growth across most products as well as higher fee income. We continue to focus on strengthening our CIBC branded products. In particular our CIBC mortgage portfolio continues to gain market share with 9% year over year growth. As Gerry mentioned, we announced the decision to exit First Line and focus on driving renewables from this platform into our CIBC brand. We are making good progress and meeting the renewal targets we communicated last quarter. Business Banking revenue was 382 million, up $22 million or 6% compared with the same quarter last year due to a combination of high volumes and fees. Our lending balances have grown 8% year over year and operating account deposits were up 12%. Other revenue of 44 million in the quarter was up 5 million or 13% compared with the same quarter last year but down slightly from the prior quarter, these were helped by treasury allocations. These allocations remain somewhat higher than what we would expect going forward. The provisions for credit losses of 273 million was down 18 million from the same quarter last year due to lower write-offs and bankruptcies in the cars portfolio, partially offset by higher losses in the business and personal lending portfolios. Tom Woods will discuss credit quality in his remarks. We continue to remain focused on our expenses while continue to invest in strategic business initiatives. During the third quarter, our operating leverage was positive with non-interest expenses of 1 billion and 35 million, an increase of $22 million or 2% versus the prior year. Our reported net income was 594 million, up 43 million or 8% compared with the prior year. Our margins were up slightly quarter over quarter at 257 basis points. The benefit from lower funding costs and improved business mix due to the First Line exit were partially offset by the impact of low interest rate from deposit account revenue, as well as the seasonally lower cost revolve rate. We expect this level of margins to remain relatively stable with improving business mix, helping to offset the industry-wide impact of lower interest rates. Turning now to slide seven, revenue for Wealth Management in the quarter was 401 million, relatively flat compared with the same quarter last year. Looking at the results of this specific business lines on this slide, retail brokerage revenue of 346 million was down $17 million from the same quarter last year. Market conditions continue to drive lower trading volumes and lower new equity issue activity. Active management revenue of 130 million was up $14 million or 12% from the same quarter last year. Primary driver of the increase was the inclusion of our equity ownership in American Century Investments. Non-interest expenses of 299 million were down 2% from the prior year and down 4% from the prior quarter, mainly as a result of lower performance based compensation. On the reported basis, net income after-tax was 76 million up 9% from the same quarter last year. Turning to Wholesale Banking, reported revenue this quarter was 527 million, were up $64 million or 14% compared with the prior quarter. Capital markets had a strong quarter, revenue was up 23 million versus the second quarter as lower equity issuances and interest rate trading were more than offset by higher revenue from equity derivatives trading, debt issuance activity, and foreign exchange trading. In corporate and Investment Banking, revenue of $223 million was up 48 million compared with the prior quarter. This was driven by a combination of higher merchant banking gains and higher revenues from both corporate credit products in US real estate finance. Provision for credit losses was 34 million in the quarter. The quarter-over-quarter increase was due to higher losses in the US real estate finance portfolio on loans that were originated pre 2009, as well as our loans in the Canadian credit portfolios. Non-interest expenses were 284 million, up slightly from the prior quarter. In the quarter, our structured credit run off business generated a net after tax loss of $19 million. On a reported basis, net income for Wholesale Banking was 156 million this quarter and adjusted net income was $175 million, up 21 million or 14% from the prior quarter on the same basis and this reflects strong performance given the quarter’s challenging market conditions. So what we can conclude is our third quarter continued our strong performance in 2012. Retail and Business Banking generated strong revenue growth in the quarter. Wholesale Banking delivered solid performance within both this business lines and we see this as evidence that our client-focused strategy is working. And our capital position is strong. And we are well-positioned for the Basel III requirements and this provided us with the opportunity to return capital to shareholders through the dividend increase and normal course issuer bid that we announced today. But thanks for your attention and let me turn the meeting over to Tom Woods.
Tom Woods : Thanks Kevin. Hi everybody. Slide 18 loan losses in Q3 were 317 million versus 308 million in Q2. Loan losses were up in Q3 mainly for the following reasons, 20 million higher losses in commercial banking, 9 million higher losses in US commercial real estate, 11 million loss from a single (inaudible) in the Canadian Corporate Credit portfolio partially offset by $10 million of lower losses in CIBC First Caribbean and 21 million of lower losses in our cards business and other retail portfolios. Slide 19, our cards portfolio net credit loss rate in Q3 was 4.4% versus 4.7% last quarter. Our cards delinquency rate remains stable quarter over quarter. With respect to our Canadian residential mortgage portfolio on slide 20, 77% of our Canadian residential mortgage portfolio was insured with over 90% of the insurance being provided by CMHC. The average loan to value of our uninsured mortgage portfolio based on June house price estimates is 49%. Slide 21 shows our Canadian residential mortgage portfolio by region. The size of this portfolios is 145 billion with approximately 46% in Ontario followed by BC at 20% and Alberta at 16%. The credit quality of this portfolio continues to be high with a net credit loss rate of approximately one basis point per annum. Slide 22 shows our Canadian residential condo mortgage exposures. Condos account for approximately 12% of our total mortgage portfolio with about 70% in Ontario and BC. Similar to our total portfolio, our condo sub-portfolio has a high ensured mix at 77% with an average loan-to-value of 50% for the uninsured portfolio. This slide also shows our condo developer exposure. At July 31 our drawn loans to construction projects were 594 million or 1% of our business in government portfolio. The exposure is diversified across 60 projects. Slide 23 shows our exposure to the European peripheral countries and countries in North Africa and the Middle East. As you can see, we have no peripheral sovereign exposure and very little peripheral non-sovereign direct exposure, only 26 million net exposure after deducting the collateral we hold. We have 298 million indirect exposure to corporates in the peripheral countries and our structured credit runoff book, down 34 million quarter over quarter where our interest benefit from significant subordination to our position, but here too none of this exposure is to peripheral sovereigns. Slide 24; our US real estate finance business has 3.8 billion of drawn exposures and 424 million of undrawn. As mentioned last quarter, about 70% of this has been originated since 2009, which benefits from higher credit quality standards due to better loan-to-value metrics and tighter adjudication criteria. In Q3 we had loan losses of 24 million, up from 15 million last quarter. All our loans were originated pre-2009. We had 146 million of net impaired loans. Slide 25; our European leverage finance run-off book had 319 million in drawn exposures and 74 million in undrawn. In Q3 we had a net reversal provisions of $1 million. Our US leveraged finance run-off book at 142 million in drawn exposures and 42 million in un-drawns and in Q3 we had no provisions in this portfolio. Slide 26, turning to market risk. This slide shows the distribution of revenue when our trading portfolios. In Q3 we had positive results every day but one, the same as in Q2. Our average trading VAR was 5.6 million compared with 4.6 million in Q2, the low VAR levels reflect our continued low risk positioning given market conditions. In slide 27, our tier one ratio was 14.1% at the end of Q3, the same as at the end of Q2. The phase-in effects of IFRS and higher RWAs were offset by earnings net of dividends. CIBC is well-positioned for the Basel III transition, our pro forma Basel III common equity ratio at the end of Q3 was 8.9%, exceeding the Basel III minimum requirements of 7%. I will now turn the meeting back to Geoff Weiss.
Geoff Weiss : That concludes our prepared remarks. We will now move on to questions. Operator, can we please have the first question on the phone?
Operator: Thank you. (Operator Instructions). The first question is from Steve Theriault of Bank of America Merrill Lynch. Please go ahead. 
Steve Theriault - Bank of America Merrill Lynch: Thanks very much. First question for David Williamson please. David, now that you have had a bit more experience, can you one, update us on how retention efforts are going? Are getting more or less than your 50% target? And can you also maybe just quickly refresh us on your margin outlook, assuming no change in rates.
David Williamson: So on first one, I am pleased with report that we are achieving the objectives that we outlined when we announced our decision to exit this business back in the first quarter. Our conversion efforts in franchising First Line customers into CIBC continue to be good, it seems a strong propensity to renew into CIBC. Since, we introduced our capability for First Line customers to renew into CIBC brand and mortgages back in April, we’ve been meeting our migration targets that we originally outlined and that you just referred to. A second point I'll make is that the spreads that we’re achieving on the converted mortgages are also hitting our targets. I won’t for competitive reasons outline what those NIM targets are, but they are substantively higher than what we are achieving in 2011 and we are hitting those targets. Then the third important component is building deeper relationships with those customers as they come into CIBC and we have June initiated a process to facilitate that. We that leads to the frontline and we make sure we welcome these customers on including a bit of a promotion on the banking fees for the first year if they do decide to bank with CIBC. So all-in-all, it's still early days, but it is going as we would like. Then Steve we also mentioned NIM. So this quarter NIM is up slightly from the prior quarter. As you know similar to industry trends, we’re experiencing headwinds related to the continued low interest rate environment both on Business Banking deposits and Personal Baking deposits, but we have the benefit of this shift in asset mix due to the exit in First Line and our faster than market growth in our own CIBC branded mortgages. So taken together, these factors resulted in a slight improvement in margins for this quarter. Now looking forward we expect margins to be near-flat you know as the benefit from improvements in asset mix work to mitigate the impact on rates, depends on what rates do and that's obviously a strong headwind, but we do have the benefit of this offset. So thanks for the question Steve. 
Steve Theriault - Bank of America Merrill Lynch: One more on, I noticed credit card market share continues to decline modestly. Are you starting to feel like it’s getting closer to be time to step in and start to fending market share or are you happy to let that drift a little bit in the near-term?
Gerald McCaughey: A couple of factors there and I think we’ve seen it the industry question, just a level of outstandings generally in the marketplace and consumers do seem to be paying off credit card balances, but you are talking relative market share. One other factor there is the Citi acquisitions. So, that acquisition has gone well, will be some run-off of that book as we embed those customers into CIBC. As far as the overall market share, I think it’s a good business and it is something that we want to continue to support. So Citi is a factor to keep in mind, we're comfortable with all that business is playing out right now.
Operator: Thank you. The next question is from Gabriel Dechaine of Credit Suisse. Please go ahead. 
Gabriel Dechaine - Credit Suisse: The tax rate, can you quantify how much your EPS benefited from the tax rate this quarter? Expenses in Canadian retail up 2% year over year, that’s a bit up from what you’ve had in the previous couple of quarters, but David already kind of signaled that. Just wondering, is this kind of a sustainable level we should expect from here on out with no major improvement in the revenue outlook. And then commercial lending, last quarter I recall you were flat, talked about pulling back because the competitive spreads were unattractive and now you are up 2% quarter-over-quarter, wondering if that changed for the better this quarter, that could possibly explain that change.
Kevin Glass: Gabriel its Kevin, why don't I start with the tax question and then I can hand over to David. So the tax rates can be quite volatile quarter to quarter and in this particular quarter, we had a few items going our way and that did look like that’s consistent with our peer group which also had lower tax rates in the quarter. So in the current quarter, there are a couple of things that I can talk about, the one was the results of the Ontario tax legislation, which impacted tax rates and as a result of that we revalued our future tax assets and that generated a credit for us. Also, we finalized some tax audits down in the states that went back a number of years and that also generated certain tax credits. So and we had a bit of favorable earnings mix as well. So if you put all of that together and look at where we’re going forward, I think that that would have helped us by perhaps $0.07 - $0.08 in the quarter and I think moving forward, where we'd look for tax rates to end up is more like it was in the first part of the year which is, would have that same level of impact.
Gabriel Dechaine - Credit Suisse: So like, 20 - 21% type of thing?
Kevin Glass: Depends on if you are talking about tab or non-tab. So on a tab basis we are at about 21.5 and in the past couple of quarters we were at 24 - 25. So maybe a difference of around 3%.
David Williamson: So I’ll give it a pick up on the other couple of points of expenses and commercial banking growth. So on the expenses front, we are up quarter over quarter $37 million expenses. So two factors there. One is seasonality and the other is as you said, there is higher spend in on our strategic investments in support of our retail strategy that Gerry outlined in his opening comments. The seasonality is you know part extra days and part advertising costs are higher this quarter than the preceding quarter and then our bid is investment. So as far as looking forward, Q4 of last year, we had a expense growth of 1.5%. We indicated that’s probably a good number to have in mind. So for the first half of this year, we were lower than that. For the overall year, we anticipate that we’ll come inside that level. Going forward, we continue to invest in pursuit of our two objectives. To generate profitable revenue growth and enhance the client experience, but we’ll do that within the current economic context. So, our guiding principle is to look for positive operating leverage on an annual basis for our continuing business activities. So on the commercial banking side and the growth we experienced quarter over quarter. So that was not supported by commercial mortgage growth. The margins there continued to be thin and we are continuing to be focus on profitable revenue growth. So we are not accelerated our growth in that space. If spreads widen out and there are signs that they are starting to, then we’ll accelerate growth again in commercial mortgages, but currently the growth we are achieving quarter over quarter is not from that.
Gabriel Dechaine - Credit Suisse: So everything other than commercial mortgages basically, and you see that being maintained I guess?
Gerald McCaughey: Yes actually, for the last couple of years since we identified Commercial Banking as an area we wanted to grow, we have been either first or second depending whether it was fiscal 2010 or 2011 in the growth. We’ve grown a book by 20% over that period, picked up 40 basis points in share. More recently the growth has moderated like high single digits, in part because of pulling back in commercial mortgages. And we'll go again in that space if margins come out. But I think that kind of area is where you expect to see growth, and high single digits growth but with good margins.
Operator: Thank you. The next question is from Peter Routledge of National Bank Financial. Please go ahead. 
Peter Routledge - National Bank Financial: Hi, question for Richard Nesbitt. Richard I was wondering have you looked at the challenges that Knight Capital had in August? And maybe can you differentiate how CIBC might be managing operational risk presumably at a lot lower level than say Knight Capital had? I am looking to try and differentiate why you now CIBC would not fall prey to this sort of an event?
Richard Nesbitt: Sure I'll start and then I'll let Tom follow on operational risk. Well we don’t have any proprietary activities in this area. As a matter of fact we don’t have any proprietary activities at in the wholesale bank. That was a proprietary activity that they were undertaking. So, we do provide a lot of technology based solutions for our clients, as you know we have a leading market share. But the way we handle it here is there is complete independence of the technology group from the business and the technology group has to sign-off and improve any release of any product, any new product, any modification to a product. What I believe likely happened at night was, when you mix those two things together, it becomes very dangerous in this sort of drive to get to market by the business. So that’s one of the main controls that we would have and I will turn it over to Tom for the rest.
Tom Woods: Yes, Peter, I mean there is three defenses on something like this. And as you know, and I’m got not going to comment specifically on night, but the whole issue here surrounds introducing new software in to a production environment and as Richard says, technology is completely independent. They've got control over when to give the go ahead. Secondly, software is developed completely separately from the production environment. And third, we’ve circuit breakers, or they are sometimes called kill switches in place to ensure that we have mitigants (ph) in place to prevent unintended trade flows on something like this. So, we've done a full post-mortem on this situation, we are comfortable with our policies and practices are adequate to prevent something like this.
Peter Routledge - National Bank Financial: So if you had a new piece of software that went in supporting this business the first day someone’s got their finger on the switch to turn it off?
Tom Woods: Absolutely.
Operator: Thank you. The next question is from Robert Sedran of CIBC. Please go ahead. 
Robert Sedran - CIBC: Hi, good morning. Tom, I hadn’t had a change to get into the details behind the numbers, so I apologize if the answer is obvious, but I look at that flat tier one ratio and a Basel III tier one common up 40 basis points and I’m just wondering if there is any changes to the underlying assumptions or models regarding Basel III or if this is just stuff that’s going to be in the tier one and not in Basel III?
Kevin Glass: Yes I mean there are different calculations. I will just hand it over to Brian McDonough so he can provide some more details.
Brian McDonough : The probably the key difference is in the tier one ratio, there continues to be the IFRS transition adjustment which sort of hurts the ratio a little bit each quarter. And then in terms of the Basel III very strong at 8.9% continued strong capital generation and no changes to assumptions, but they were updates to deduction from capital for deferred tax assets which has helped us by 15 basis points this quarter.
Robert Sedran - CIBC: And then Gerry just wondering how if you can give a little insight as to how the board looked at the buyback and how that size was chosen like in terms of 2% of outstanding and perhaps how you plan to execute this if it’s just going to be a gradual steady buyer through up markets and down markets or if it’s going to be more opportunistic?
Gerald McCaughey: We tend to historically, and I’m not going to lay out the terms of the buy back outside of what’s going to be in the press release and there are some details in there, but historically we have not been opportunistic. We have tended to do this on a formulaic study basis and I wouldn’t go any further than that because the press release intended to speak for itself. That’s part one. And I don’t particularly see within the nuances of the marketplace as we see it today any particular rationale for deviating from historic practices. Is that good enough on that part?
Robert Sedran - CIBC: Yes.
Gerald McCaughey: I wanted to start off first with we have very strong capital generation at CIBC and we are positioned well in terms of Basel III. That’s our starting point. Good positioning because we’ve got here fairly rapidly because of the actions that we took. Number one. Number two, our expectation of strong capital development in the future. So, that’s the capital side and positioning and future availability. Then there is the usage side. We do have a number of elements to the usage side. The buyback is one of them. And we also have a strategy and our strategy is something that we have been outlining to the marketplace. But the strategy will result in some usage of capital. And that is anticipated to be mostly within organic growth of the business. We have got an appetite for limited acquisitions in the area of wealth management. But I will tell you that at this time there is nothing of size on the horizon and we’ve defined what size is for us. Size is anywhere from the McLean Budden type transactions up to American Century size transaction. And I would again say that we don’t see anything at the moment at the upper-end of that range. All that having been said, we do have some view of organic growth possibilities in the business as a result of our strategy, and we do require some capital for that. Those possibilities that we have are subject to I think the vagaries of market conditions, but all of them are intended to be above our hurdle rate. That is a very good use of our capital and it’s the first use of our capital that we emphasize, capital usage within our strategy. Then we look at our dividend, our payout ratio and we’ve taken action today to optimize that within our range. Lastly, we look at excess. After we’ve paid our dividend and we’ve planned for our strategy over the course of the near and medium term. And when we look at this, we think that the 2% is a good start and it is something that is our first step and in the context of first and foremost our strategy, 2% is a good start on excess that's there. We will review what the excess is for further opportunities, but that’s where we are out at this time.
Robert Sedran - CIBC: I assume, you are not going to tell us what that excess is today?
Gerald McCaughey: I think that would be a little bit more in the forward looking department and has been our habit, so I think that we are not particularly expecting large deviations from our strategic imperative, which is consistent with sustainable earnings. Our context of our strategy is, positioning is, to be a lower risk bank. We try to deliver value to our shareholders by consistent sustainable earnings. We have a strategic plan and we do think that at this time, conditions are reasonable so that we would be looking at more so the consistent sustainable element as a generator of capital and the plan as a primary reinvestment of capital.
Operator: Thank you. The next question is from John Reucassel of BMO Capital Markets. Please go ahead. 
John Reucassel - BMO Capital Markets: Thanks, Gerry just following-up on Rob’s question, maybe I’ll ask it a little differently. You know if you look at the payout ratio, let’s call it 45% now and the buyback, let’s call it, roughly 20% of earnings, should we think of CIBC as a low risk bank trying to overtime returning 60 to 65% of earnings to shareholders or are we inferring too much from what you’ve laid out here?
Gerald McCaughey: The reality of it is that our primary return mechanism to our shareholders overtime is the dividend. And I agree that it’s a bit of a mathematical exercise, but the reality of it is that to the extent that you have a buy back, that does allow you to raise your dividend more rapidly and stay within your payout ratio. And the primary target on this is our dividend level and the ability to raise dividends overtime. And I think that’s what I would keep my eye on. Obviously, if organic growth opportunities that were within our core competencies, that were well risked and hit our hurdle rates, are presented themselves and of course were within our strategy, that’s our preferred method of growing earnings and growing dividends. At this time we do not require all of our capital and the buyback is a balanced way to control the flows so that the amount of dividends that are available for distribution to shareholders can rise more rapidly than it would under a baseline approach.
John Reucassel - BMO Capital Markets: When you talk about your CIBC branded loan growth, mortgage loan growth of 9%, does that include the renewals from First Line?
David Williamson: Yes it does. Let me pass it out a little bit. So the key point that we’re trying to make, we are continuing to grow faster than the market. we are picking up the market share in CIBC brand of mortgages and that 9.4% year-over-year growth versus our market growth of about 7% does include First Line, but if you pull out First Line it’s approximately near enough about 0.5% of that growth. So even taking out the (inaudible) of First Line, which we are going to have for a while, even putting that off to the side, just our own branded machine alone is chugging along at a rate faster than market by a fair margin.
John Reucassel - BMO Capital Markets: Okay and the CIBC branded mortgages of 90 billion, are 77% of those insured as well and what is the LTV on the uninsured at the CIBC branded mortgages?
Gerald McCaughey: Yes those are insured as well and maybe I'll hand it over to Tom to give us few more details as to the level of the LTV on the uninsured.
John Reucassel - BMO Capital Markets: So, David or Tom, it is about 75% is insured in the CIBC branded like the First Line?
Tom Woods: The LTV is the same on the uninsured as the insured. Is that right Raza? I will just hand it over to Raza.
Raza Hasan: So, just in terms of the loan to value on the uninsured, it’s same as what Tom disclosed, roughly about in the 50% range.
John Reucassel - BMO Capital Markets: So, I am sorry, the CIBC branded, the 90 billion, is that also 77% insured?
Raza Hasan: In that range, yes.
Operator: Thank you John. The next question is from Darko Mihelic of Cormark Securities. Please go ahead.  
Darko Mihelic - Cormark Securities: Hi, thank you. Also a question for David. Actually, real quickly to throw all of them together into one big question. It looks almost as though you may have benefited from fee increases in the quarter, but I think you have a couple of initiatives on the way in terms of bundling and lowering the fees that people pay, and then you also have longer branch hours. Can you help me understand, first; A, the benefit of any possible fee increases in the quarter; then secondly, how much you expect to give back on a go-forward basis with the bundling exercise? And are longer branch hours and weekend openings, is that actually material?
Tom Woods: Certainly Darko, first I’ll take a crack at that. You are right, there are a few moving pieces. So fees first off, yes that is helping because in the second quarter we only had one month of the fee adjustment because that was put through in April, this quarter we have three months so that has helped. The total banking rebate offer also went at the same time. So whatever benefits we're seeing have kind met. So the total banking rebate, we made the decision to give that to our existing customers that already met the guidelines of the four products that Gerry mentioned. So that kind of hit right up front for the clients to have that kind of relationship with us as did the fees. So it did help quarter over quarter, but the key thing we see is that’s kind of a net one. That’s a total banking rebate and the fee increases are both in that quarter-over-quarter held. The other thing you mentioned was hours of business. So that’s to come, that’s going to happen in September. It’s pretty significant. We're going to add for Saturday, we are going to open another 90 branches on Saturday that takes up to about 650 open Saturday. We're going to open another 50 on Sunday. That will take us well over a 100 and then we're going to adjust the weekday hours for 670 branches to extend weekday hours. So, the financial impact of that hasn’t occurred That’s going to start in the next quarter, but it will be positive, both on revenue and (inaudible). How that will be achieved is, the weekday hours we have been working on productivity and workflow and we believe we can meet those extra weekday hours with existing staff levels. We will have to add staff FTE for the Saturday and Sunday, but our review of the branches, the returns in those benches and where we’re going to add the hours would cause us to forecast that it will be helpful to revenue and helpful to (inaudible). Hopefully, that hits the mark Darko.
Darko Mihelic - Cormark Securities: Lastly, David just you’re growing your mortgage book faster than Seers in a world in which the powers that may actually want mortgage growth to slow. Can you talk about what it is that you are doing differently and is it really something that you should be doing now given that you are making a lot of changes to mortgages and the outlook for real estate isn’t all that benign. It just seems very out of character for CIBC, can you maybe talk to that?
David Williamson: By all means Darko. I mean you raised good points as to what we are all about which is lower risk and the consistent sustainability that Gerry talked about. We have to remember the macro picture here, the macro picture is we will be only bank that’s actually reducing our mortgage balances over the next few years. All right, so we have got First Line which is near enough to 50 billion that’s burning off. So although our own brand which has better margins allows for deeper relationships and cross-sell, that will be growing, but the $50 billionish is going to be burning off. So, as you say the powers to be or the general market environment, you know CIBC over the next few years would be the only bank that will actually see aggregate total mortgage balances declining over the next while which we spoke of when we talked about the exit of First Line. Back in Q1 we said, we expect single digit drops in our overall mortgage balances on the balance sheet. How are we doing it is sensible. We're focused on our client, we're increasing how we service our clients so the mobile advisors have been growing and that’s facilitated our CIBC branded growth and we are not reaching for it. You can see our NIMs are expanding. So we certainly are not trying to reach for that growth by taking lower prices. So, your point is entirely valid, but I think that’s exactly what CIBC is doing. We are pulling back on overall mortgage exposure if you will and we're trying to get the right kind of balances those with our clients, bring out deeper relationships and wider NIMs and exiting the business that doesn’t have those attributes.
Operator: Thank you. The next question is from Michael Goldberg of Desjardins Securities. Please go ahead. 
Michael Goldberg - Desjardins Securities: How much are you paying for the McLean Budden individual business acquisition? Do you see cross-selling opportunities with these clients? And how much of should this increase the $25 million quarterly private wealth revenue that you are generating?
Victor Dodig : Michael we didn’t disclose the price and we don’t plan to. The acquisition is very much in line with our strategy, its in-market. it grows our fee-based business. It has $1.4 billion in assets under management, and typically those assets can generate fees that are in line with market fees for higher net worth individuals and there are obviously opportunities for cross selling as well as expense synergies. So, net-net, it’s a positive benefit to CIBC and it strengthens our franchise.
Operator: Thank you. The next question is from John Aiken of Barclays Capital. Please go ahead. 
John Aiken - Barclays Capital: I do apologize if I missed it in the prepared commentary, but Richard, can you give us some commentary about the loan growth you’re getting in the Wholesale Banking side, particularly relative to what’s been going on in the provisions and as well as, what looks like a little bit of a compression on the margin side?
Richard Nesbitt: Sure, so we have been growing our client business in the corporate credit products area is what we call it, that’s our corporate bank, both in Canada, but also in United States and to some degree outside of North America, but on a much lesser basis. The loan losses that you are seeing are we relate primarily to what we call pre-2009 real estate finance losses and then in addition to that, this quarter there was a single (inaudible) that has decided to try to restructuring their affairs. So I would not say that there is not any particular relationship between our elevated losses in Q3 and the activities that we’re seeing and growing our lending books here at the Wholesale Bank. There has been, as you can see in some of the information that’s public, a small compression in spreads. We're talking a few basis points over the past several quarters, still profitable business, as a matter of fact, I would say that the real estate finance business that we are doing in New York today is some of the most profitable business we are doing relative to the risk ratings of those clients. And so I don’t think we are in the zone yet where the margins have declined to a point where they are unprofitable. If they are, we would have to take a look at our growth rates and our expectations there. Remember what we’re doing is, we are generally adding new clients, clients we haven’t had relationship with before, and we only do that where we can achieve a particular credit only return and we think the client is a candidate for doing additional cross sell business.
John Aiken - Barclays Capital: Thanks so is it fair to extrapolate from your commentary that the strong growth that we saw in the average balances sequentially is rather broad based but maybe a little bit more focused on the US real estate side?
Gerald McCaughey: I would say certainly its broad based. I would say, we have been growing in the United States particularly in the energy area. I would say that, that growth is still fairly small part of our overall portfolio. I would think that overtime, it will become a slightly larger part of our overall portfolio, but I would agree with your first comment and it’s very broad based.
Operator: Thank you. There are no further questions registered at this time. I would now like to turn the meeting back to Mr. Weiss.
Geoff Weiss: Thank you for joining us. That concludes our call. Please contact Investor Relations with any follow up question. Have a good day.